Operator: Good morning, and welcome to the Cancer Genetics Third Quarter 2017 Earnings Call and Company Update. This morning, the company issued a press release that provided an overview of the third quarter and nine months 2017 results. Today's conference is being recorded and will be available at investors.cgix.com. Additionally, CGIX has also provided a set of slides to accompany today's update that are available both online or by contacting ir@cgix.com. [Operator Instructions] I would now like to turn the conference over to Mr. Lee Roth, Senior Vice President of The Ruth Group. Please go ahead.
Lee Roth: Thank you, Rochelle, and thank you all for joining us for the Cancer Genetics third quarter 2017 earnings conference call. On the line with me today is Cancer Genetics' President and Chief Executive Officer, Mr. Panna Sharma; our Chief Operating Officer, Jay Roberts; and our President of Discovery & Early Development Services, Dr. Ralf Brandt. The company issued a news release and a set of slides earlier this morning to accompany its earnings call. The presentation materials are available under the Investor Relations section of the company's website at investor.cgix.com. Following the safe harbor statement, Panna will provide an overview of the third quarter and our significant accomplishments in 2017 to date. Following this, Dr. Brandt will provide an update on the vivoPharm integration and provide a case study highlighting the unique capabilities of the synergized company. And then, Mr. Roberts will provide a summary of the third quarter financial results. Finally, Panna will make some closing remarks before we open up the call to your questions. We'd like to remind everyone that various comments about future expectations, plans and prospects constitute forward-looking statements for purposes of the safe harbor provisions under the Private Securities Litigation Reform Act of 1995. Cancer Genetics cautions that these forward-looking statements are subject to risks and uncertainties that may cause our actual results to differ materially from those indicated, indicating risks described in the company's filings with the Securities and Exchange Commission. Any forward-looking statements made during this conference call speak only as of today's date, Thursday, November 9, 2017, and Cancer Genetics does not intend to update any of these forward-looking statements to reflect events or circumstances that would occur after today's date. This conference is being recorded for audio rebroadcast on the company's website, cancergenetics.com until November 23, 2017. With that, it's my pleasure to turn the call over to President and CEO, Panna Sharma. Panna?
Panna Sharma: Thank you, Lee, and everyone, welcome to our third quarter earnings conference call and Cancer Genetics' update. CGI continues to be extremely focused and being the premier bench-to-bedside provider of personalized oncology solution from discovery to clinical development and into patient diagnostics and monitoring. This focus is driving our growth initiatives forward, while building a truly unique precision oncology company. This is demonstrated by the operating metrics and great results that we will share with you today. And also, the continued advancement of a portfolio of testing services. We now have over 20 tests in the market and our services for precision oncology range across a wide range of platforms from genomic and proteomic to contigene [ph] assessment, post-cell analysis and novel epigenomic. We are particularly excited about three areas of accomplishment this past quarter: one, we continue to grow our revenues to record levels over $8 million this past quarter. We continue to grow our contracted bookings with our closed deals of lean biotech and pharma companies globally, which grew over 134% over the third quarter of last year and ongoing improvements to our gross margin or operating losses, which improved roughly 20% as well as our bottom line. It is across all measures, revenue, contracts as well as operating income. It is a great testament to the operating business model that we're creating and our unique set of capability. The entire company is committed to innovation, while also executing in the market as it has got the leadership precision -- leadership position necessary for precision oncology, discovery, development and diagnostic. Balancing this innovation and execution is critical to building a durable and valuable precision oncology company. We had a record quarter, our team has delivered over $8 million in revenue this past quarter. We experienced 134% increase in new contracts in pharma and biotech customers. We closed over $8.2 million new contracts this past quarter. This significant increase is a clear demonstration that our unique focus on growing the biopharma business is generating meaningful results and creating unique source of the value for our company and our shareholders. Our team is committed to demonstrating the value for our platforms and our testing solution and the value they have been bringing to drug discovery, to clinical trial development and to patient diagnostics for oncology. For those of you that are new to the story, I'd like you to update about our business model. In genomics and biomarker data that Cancer Genetics delivers, influences and helps to guide decision, not only we have patients who are treated, but also what drugs are there from the clinical trial. Additionally, our technology has now been used to understand drug target, better understand the efficacy, safety used during therapy and develop new combination therapy. Our platforms and technologies are being used to help advance the pipelines of drug companies globally and also to create companion and complementary diagnostics that will then be used to identify monitor patients that can benefit from these great new therapy. CGI creates a very unique system in the oncology ecosystem. And we believe that we'll become a critical partner in the advancement of oncology therapies globally and in the diagnosis and monitoring of cancer patients. The progress we have made and the work that we do for our clients and in the development of our portfolio are important steps to realizing our vision of being the precision oncology partner of choice for bench-to-bedside. Our technology and our development countermark active collaborations with leading research institutions globally. We use a collaborative and open innovation framework. This allows us to develop new services, new test and new insights with premier research institutions such as Memorial Sloan-Kettering, Moffitt Cancer Center, Mayo Clinic from the University, the Keck School of Medicine of USC, the Huntsman Cancer Center, National Cancer Institute and many others. This model minimizes our R&D exposure, while ensuring focus and early access to the translational oncology effort that will power future CGI services, future development in our platform, and in many cases, new IP-protected test to add to our portfolio. Many of these research collaborations not only show a vibrant meaningful portfolio, but also help drive new revenue opportunities that are at the forefront of precision oncology. CGI has developed a leading portfolio of genomic and bio market-driven set and capability that are critical to understanding cancer, identify potential therapy and measure responses of patient groups. These test ratio, FDA-cleared diagnostics tissue of origin, which helps patients and hard to identify an unknown cancer through AntigenID, which is our latest offering that aids in the complex neoantigen discovery and [indiscernible] identification for immunotherapy and immuno-oncology group. We also -- and we're very excited about liquid loan, which provides genomic assessment directly from blood either they meet with biopsy, especially for monitoring and therapy selection in lung cancer. This targeted panel provides actionable comprehensive coverage across 11 genes and over 153 pre-classified related to lung cancer management and therapy selection. Now with the integration of vivoPharm's capability, we can work with our biotech, pharma and discovery partners even earlier in the process and help identify new drugs and drug combination in the preclinical setting. No other company is so uniquely focused and positioned with this bench-to-bedside model for oncology, where we can help identify targets and potential drug combination in discovery stage. Greatest discoveries into clinical trial oftentimes global and eventually bring those therapies and complementary of companion diagnostics used to guide this therapy if you're highly regulated clear and can laboratory to test patients. So those therapies can be effectively delivered and monitored. This bench-to-bedside model is essential for the future of precision oncology. We are better positioned than ever to take a leadership position in the precision oncology industry and deliver value not only to patients and customers, but ultimately to our shareholders. In the third quarter, we delivered over 40,000 tests that helped diagnose, monitor and select treatment for patients. These tests covered a wide range of cancers from solid tumors such as lung, colorectal, breast and kidney to hematologic malignancies such as leukemia, lymphoma and multiple myeloma. Our goal is to provide actionable molecular information that drives therapeutic decision-making and improves patient care. We believe that we are at the forefront of an evolution in oncology, the emergence precision medicine and the personalization of therapy. The first quarter of 2017 was one of continuous build-out of our capabilities to expand our leadership position and revenue potential, especially in immuno-oncology and Discovery Services. Our team launched AntigenID, a leading neoantigen identification platform, which was launched as a discovery service offering to identify unique neoantigen deficit that improves -- that should improve therapy selection, particularly for immune oncology drug, heart-E and T-cell therapy. vivoPharm, a global pre-IND research services company with strong presence in immuno-oncology, is prudent to be highly synergistic with our Biopharma Services and the development of downstream clinical trial. This acquisition has allowed us to expand our global offering, deepen our services of biotech and pharma and develop new revenue sources for this company. At this stage, we have partnered with Thermo Fisher in the past quarter to deliver the first offer with FDA-approved Oncomine Dx target test for small cell lung cancer, which expands our existing heritage of innovation and our comprehensive solution in lung cancer. In fact, next week at AMP in Salt Lake City, our team will be actively presenting talks, data and case studies about our next-gen sequencing and liquid biopsy offering for lung cancer. These important accomplishments during the third quarter, along with achievements earlier in the year, led to very strong financial results. Jay will go into more detail on these results, but some of the key highlights are record revenue quarter of over $8 million revenue as well as 134% year-over-year increase in contract bookings with key biotech and pharma customers. We also added our 25th immuno-oncology combination trial contract. This is significant because it presents opportunities for CGI and not only provide new test during a trial, but also then provide ongoing patient monitoring and testing. And we continue to add to our overall book of business by a very strong book-to-bill ratio, which is 1.6 in the past quarter. Our test volumes also increased into double-digits with over 13,726, up 11% in the quarter. Dr. Brandt will present details on the vivoPharm integration and capability. And again, these capabilities are essential for us to become a true bench-to-bedside company. These capabilities will also allow us to initiate drug discovery and drug rescue program, either in partnership and leading biotech and pharma companies or with leading research institutions. As a quick reminder, we closed vivoPharm in the middle of the third quarter, and we expect to unlock significant synergy with the acquisition going forward. Let me emphasize that from a financial perspective, the acquisition has already contributed to top line growth, as Dr. Brandt will discuss, and is anticipated to generate more than $5.5 million in annualized revenue on a go-forward basis and is expected to continue being financially accretive. With that, I'd like to hand over the discussion to Dr. Brandt to talk about the integration of vivoPharm and also present you a case study of the work that we're doing together. Ralf?
Ralf Brandt: Thank you, Panna. Ladies and gentlemen, I'm excited to participate in my first part of the investor call as part of the CGI team and look forward to getting to know many of you in the coming months as we advance in this outreach to increase awareness of our unique capabilities and how we contribute to the bench-to-bedside model at CGI. I'm happy to report that during our initial months and the half at CGI, our teams were able to contribute nearly $800,000 in revenue during the third quarter and positive operating income. Most important is that we have made significant progress in integrating our sales and customer outreach efforts. The need for integrated drug discovery and clinical trial testing in oncology has never been higher as combination trials and reproposing of promising compounds becomes even more present among pharmaceutical and biotech companies. It will further drive the market demand for CGI's unique bench-to-bedside business model. We are also advancing the development of new integrated service offerings for discovery and early development customers at biotech and pharma companies globally. We have planned initiatives to characterize our immuno-oncology and human models and also increase the capacity and throughput at our labs in both the U.S. and Australia. We have seen immediate synergies and have already started 2 projects that bring together CGI's and vivoPharm's capability. Let me provide you with an example that it simplifies the kind of work that clients are depending on us to do. In this case, the client was an oncology-focused biopharmaceutical company. Its focus is on the development of methods to harness RNA as a therapeutic agent in the treatment of disease and development of therapeutic vaccines. The opportunity was ideal for CGI given its capabilities and both its preclinical and clinical applications, and particularly, its strong experience in immuno-oncology. This allowed us to leverages our expertise and expensive capabilities in immuno-oncology vaccine biology and assessment of immune study endpoints for selection of therapeutic development and candidate. CGI's preclinical knowledge and characteristic of to must alliance for prostate cancer and nonsmall cell lung cancer were also important in this project. The proposed solution was a pilot vaccination study compared to client therapeutic to conventional treatment and analysis of tumor size and occluded [ph] mouse Our availability of seamless tranche in toxicology and clinical stage engagement puts us in an excellent position to deliver this solution. Several factors are leading to CGI's success in this occasion. First, our extensive knowledge base and tumor derived cell lines. Second, our understanding of downstream preclinical and clinical applications. And third, the data we retain from pilot studies that have been used to advance therapeutics into development stage. This study is still ongoing, and we hope to have additional information on the project once patients are in the clinic. In terms of future business, we are experiencing increasing demand for our safety and toxicology work globally. And our work and efficacy and discovery continues to be driven by a strong need for improved understanding of immuno-oncology therapies and targets. The portfolio. During 2018, we plan on developing an accelerated offering that incorporates and integrate broadness from the IND and to biomarker-driven Phase II clinical trial testings for the companies. I hope that, that case study has given you a clear view of our future of working these two companies together and streamlining and growing explicitly. And now we're going to hand back to Panna. Thank you.
Panna Sharma: Ralf, thank you. These case studies that Ralf just presented clearly demonstrate the unique value that CGI provides in the oncology community in helping identify new target and develop a real clinical development in clinical trial program, and eventually, hopefully, moving into patient. I would like to now turn the call over to Jay Roberts, our EVP of Finance and COO, to review the financial results for the third quarter. Jay?
John Roberts: Thank you, Panna, and thank you, Ralf, for that customer case study. Record revenue and strong revenue growth was a highlight in the third quarter as well as our demonstrated success growing our contracted bookings with Biopharma companies. Additionally, we had continued our focus on streamlining internal operations and reducing our costs with closely managing our G&A expenses. Our financial discussion today will focus on changes in the third quarter of 2017 versus the third quarter of 2016. And for additional information, please refer to our Form 10-Q for the quarter ended September 30, 2017, which was mainly filed with the SEC and is available on our website. At first, I'd like to provide you an update on our vivoPharm integration. Although the process is continuing, the take home messages that we are experiencing both revenue and cost synergies, and we work through integration of the company. And it is on plan. Also important to note is that during this third quarter, we experienced about $200,000 in one-time cost related to the transaction. Total third quarter revenue was $8 million. All 3 businesses have showed revenue growth. Biopharma Services revenue was about $4.2 million, Clinical Services revenue was about $2.9 million, and Discovery Services revenues were about $1 million. We experienced increases in revenues on a quarter-over-quarter basis with total revenue increasing 19%, while revenues for the 9-month period increased by 9% over the 9-month year-to-date 2016 period. Our gross margins improved to 43% in the third quarter of 2017 compared to 34% in the period a year ago, an increase of approximately 9 percentage points. Total operating expenses increased 4% in the third quarter compared to the third quarter a year ago. The increase was driven by expenses related to the acquisition and also costs on a partial quarter of operating expenses in the nearly acquired vivoPharm business. Our net loss in the third quarter decreased to about $600,000 or a loss of $0.03 per share compared to $3.7 million or a loss of $0.23 per share a year ago, primarily impacted by a noncash adjustment of $2.8 million related to valuation of derivative warrant liabilities. Our fully diluted loss per share basis was $0.15 in the current quarter compared to a loss of $0.23 per share in the year-ago quarter. We had total cash and cash equivalents at September 30, 2017 of $4.8 million, a decrease from $9.5 million as of December 31, 2016. And we also had access to a $13 million under a $16 million equity purchase agreement. Now I'd like to provide a few clinical housekeeping items. First, stock-based compensation was $519,000 in the third quarter of this year, up from $441,000 in Q3 -- in Q2 2017 from sequential quarter-over-quarter, which is a noncash charge. The number of shares outstanding at September 30, 2017 was approximately 24.3 million, which also accounts for the shares that were issued in conjunction with the vivoPharm acquisition closed in the middle of the third quarter. At quarter-end, there were approximately $6.6 million common stock warrants outstanding, no change from the previous 2 quarters. Stock options were at approximately $2.8 million at the end of Q1 2017, up from approximately $2.5 million at the end of Q2 2017. So [indiscernible] our earlier comments, our innovation will continue to drive our top line growth and revenue performance. Additionally, we are very focused on expense control and margin management that can allow us to achieve profitability as a precision oncology leader. I'd now like to turn the call back to Panna.
Panna Sharma: Jay, thank you. The strong quarter on the revenue line with significant increase in new closed contracts and a continuum improvement in global margins, coupled with the continued innovations in our portfolio drive CGI closer to our vision of being a leader in precision oncology from [Technical Difficulty] As we describe, we have significant momentum in our business, and we have transformed our company from being purely a diagnostic test provider for patients in cancer centers to one that is developing and using a multipronged approach and multiple technology to help to find and develop precision oncology from discovery into clinical trial development and into patient diagnostics. We believe that this is a truly unique model and then one that will definitely deliver real enduring value to our shareholders and be a leader in precision oncology from bench-to-bedside. We believe that this is absolutely critical as the time line and complexity of first need [ph] with therapeutic development, patient compliance and combination monitoring all become more pressured over time by cost, risk and the complexities of target identification and development. We believe that CGI is in a unique position to help to find and solve some of the challenges associated with delivering crude precision oncology. With that, I'd like to open up the line for questions.
Operator: Thank you. [Operator Instructions] And our first question today will come from Ram Selvaraju with H.C. Wainwright & Company.
Ram Selvaraju: Hi. Thanks very much for taking my question. This pertains to commentary that you made on a couple of these calls regarding potentially getting more involved in active development of companion diagnostics in tandem with next-generation drug development in oncology. And I just wanted to know whether you have any thoughts on the recently announced deal between ArcherDX and Celgene, in which ArcherDX was implicated at developing companion diagnostics, the one of Celgene’s pipeline candidates. And if you think deal paradigms like that could be the kind of thing that Cancer Genetics potentially enters into in the future beyond what's you've already dealt with, for example just a collaboration? Thank you.
Panna Sharma: That's a great question Ram. And if you think that more partnerships like that earlier in the drug development process are going to become more commonplace. We're actually actively in some dialogue with our next-gen sequencing panel with biotech companies and pharma companies in the renal space and also in the lymphoma space using our focused NGS panel. And we think those will take some time to mature. Having -- since we're not really an IVD kit manufacturer, we most likely have to partner out the technology with a larger player, like, the Thermo Fisher, [indiscernible] Agilent, one of the players that can create the kits under IVD 510(k) scenario. But definitely for the content and the management of the trials and depreciation with signature, we are in several days’ discussions today using our technology. We also think that beyond next-gen sequencing, there are definitely new technologies such as multi-target IFCs, gene expression that are also being actively looked at, especially in areas such as immuno-oncology or combination therapy. So we're in many of those discussions. I mentioned we have, today, over 191 clinical trials and studies that we're supporting. And it's probably safe to say the vast majority, 95-plus percent of those are targeted in some fashion and, probably, 1/3 of those are looking at potential CDx or complementary-type route using technology like that. So thank you, we'll take the next question.
Operator: Now we went to Jason MacCarthy with Maxim Group.
Jason McCarthy: Hi, guys. How are you? Couple of questions, Panna. It's more of a kind of an abstract question. We really look at Cancer Genetics as very differentiated in the diagnostic/diagnostic space because of your focus on Biopharma, which we see is differentiating. Now that you have vivoPharm on board and you just launched the AntigenID and you really have the capability from discovery to essentially post-commercial stage, how do you see the company embedding itself in the drug development process, because I think many would agree that particularly for immuno-oncology and gene therapies that companion diagnostics are just going to have to be a part of the equation. How do you think anti genetics are fitting into that kind of a role in the future?
Panna Sharma: That's a very good question. We think that will be central to our business model as we go forward, either participating and owning a piece of the drug development process. We clearly think that our heritage in developing signatures that are biomarker base, whether it be genomics or proteomic or other helps. The reason we created the AntigenID, I think point Jason is, was specifically for the identification of people that would respond with certain types of therapies and not besides you know these are expensive drug and they can also have a lot of side effects. They are getting into live patient. As Ralf pointed out, facts will be essential. The unique thing about things like AntigenID and [indiscernible] targeted identification also gives you great insight into what tumor it may or may not work in or combinations of may or may not work in. So for many of our biotech customers like the case studies that Rafl pointed out, we save them tons of time and effort because they simply don't have the access to sample the data, the global lab infrastructure. There are many cases we save quarters and quarters of time from companies trying to run around finding partners, finding technology. And literally, we think for some of our biotech partners and our pharma customers as their rates continues to get easily targeted higher drug and combinations out market, we think we'll be an enabler facilitator from making that happen. So I think as the future unfolds, we expect to have potential economic share in the actual compound or into the launch of that drug or that drug combination. I think that's a key piece that we've positioned the company extremely well to plan. Thank you, we'll take the next question.
Operator: Thank you. [Operator Instructions] Next we'll hear from Justin Deiter with Aegis Capital.
Justin Deiter: Good morning, gentlemen. Congratulations on a great quarter. It seems like there's been plenty of innovation to speak of. Panna, can you tell us anything additional about the sales pipeline going forward?
Panna Sharma: Sure, absolutely. Very good question, Justin. We have -- as you know, we have really two markets – two primary markets that we sell into and they are both becoming more global. The first market I'll address is our Clinical market. It's kind of the heritage of the company, selling to clinicians and to cancer centers and hospitals. As I mentioned, that we had high single-digit growth, about 9% to 11% on volume there. And again, that has been less of an emphasis for the company in the past year, but it continues to grow nicely at high single to low double-digit rate. And there we have probably the strongest pipeline that we've had. In a while since we really retool sales force and also have now a very comprehensive menu that includes next-gen sequencing you know, it’s the chemistry, digital pathology services, tech-enabled services. So we've really developed our offering there to compete with some of the biggest clinical labs out there. That's beginning to pay in dividend. We did a major upgrade of our IT infrastructure, and we've seen that now we begin to yield results. We've entered into several new geographies. And you saw, probably, on our sales and marketing cost, that also increased year-over-year. And part of that increase was in headcount, specifically, both in the Clinical team that's already yielding a bigger pipeline than it's ever had and also in the Biopharma team. The second market I want to talk about in the sales pipeline is our Biopharma. As you know, we increased our active projects over 59% from 120 last year this time to 191 today. And our booking-to-bill ratio was very strong at 1.6, with record quarterly bookings of over $8.2 million. That's 134% year-over-year increase. Our pipeline with the biotech and pharma also looks very, very promising, very strong because of the innovations that we're launching in the market are in very high demand today. And the other things to note is that if you look at immuno-oncology, it's something that we focused as a company about 18 months ago, we really want to own a big piece of this market. And today, we probably have one of the leading portfolios in terms of capabilities and services offerings in -- at the forefront of immuno-oncology. As I said, over 25 combination trials, over -- nearly 60 studies and a great offering. And that offering is driving the sales pipeline. We recently added headcount as well to meet up -- to keep up with the demand and the opportunity that we see in the marketplace. And we don't see the biotech or pharma stopping anytime soon. In fact, we see increased spending in immuno-oncology. The facts are that, in fact, the analysts expect that immuno-oncology drug this year will account for 33% of the spend on cancer drug. And yet, immuno-oncology drugs only represent 9% of the approved oncology drug. The 9% of the drugs are driving 33% of the spend. That gives you a sense of how important immuno-oncology is today and going forward. So I think we've pivoted and expanded our business model at the right time. And we see a lot of opportunity in just what the market is growing in immuno-oncology. We see a similar growth trajectory in our pipeline and in our revenue and service offering. Thank you. We’ll take the next question.
Operator: And next we'll hear back from Ram Selvaraju with H.C. Wainwright & Company.
Ram Selvaraju: Yes, I just had a quick follow-up regarding what you anticipate to trend going forward with respect to sales. In particular, I was curious to know whether you see an abatement of the recruitment challenges in immuno-oncology trials, which I think were alluded to a quarter or so ago in terms of all the immuno-oncology trials going on at the same time and patients starting to become somewhat more scarce. And if you could also comment on whether you anticipate the Clinical trial derived service segment to continue to be the highest monitored and the highest-price testing segment going forward. Or if we should be thinking about that differently?
Panna Sharma: Okay. So I'll take each of those questions, but I'll take your last one first. It's a little easier. But yes, the -- our Biopharma Services tends to be higher contribution margin. Not that we have a segment, we only have 1 segment, but just to clarify because the work, both for Biopharma and Clinical, largely is done using a lot of the same platforms and personnel and workflow - a lymphoma NGS panel for a major pharma customer is almost the same in terms of the workflow and sample prep and management as it is for a hospital that's sending us multiple lymphoma cases. Of course, it does separately, but the workflow is going to the same. So that we don't report out of this segment But if you take a look at pricing as a driver for margin, definitely, the pricing power and the pricing strength lies much, much more clearly with Biopharma and biotech companies. They're willing to pay for innovation. Obviously, the drugs as they reach in the market drive hundreds of millions and potentially billions of dollars in sales. And they have the budgets to drive and, obviously, the financial need to get to market faster. So yes, the Biopharma side definitely drives higher margin or contribution margin for us today. We're also finding -- similarly the loaded service offering in Discovery Services is also driving even higher margin. And again, those tend to be shorter cycle projects. The most work that is done in our new labs in Pennsylvania and Australia also have higher contribution margin than even our traditional Biopharma, and typically tend to be done within a 90- to 120-day window. So again, we think we have kind of layered with this model. The Clinical is very important because it gives us access to patients, to data, it gives us real-world understanding and allows us to be at the leading edge of patient care, which is critical in oncology. At the same time, we backward integrated over the last 2 years so that we can have a more meaningful impact on patients by managing them earlier in the trial process. And we find that many of these therapies and the discoveries really need to extend even further back and help identify the targets and drive the combination. So again, similar in process, and we believe that having all 3 fully integrated is essential to being a true precision oncology company. Now the other questions that you had, which was not on margin. A little bit different take on what's going on in the immuno-oncology trial space with regard to patient recruitment, and that is still an issue. Not just an issue of Cancer Genetics, but in the industry as a whole. We see a number of initiatives, including some by the NCI, including a project [indiscernible] others to drive increased access to patients that you heard most recently about 11 pharma, 12 pharma companies being involved with the NCI in a broad immuno-oncology partnership and collaboration. So this reaches across lots of institutions, especially second-tier, and a lot of community -- large community sites that drive immuno-oncology awareness, recruitment, access to patients. And again, I don't expect that problem to be solved overnight. But across the landscape, immuno-oncology trials require a lot more fact were missed about patient recruitment, patient testing and getting a good pace for the patient. The good news for us is that we're well positioned because of the diversity of our portfolio, both in targeted as well as IO combination. But I think over the next 12 months or so, immuno-oncology companies will continue having recruitment challenges, and the ones that are more proactive about measuring and monitoring patients, reaching out beyond the big centers quickly -- more quickly and also into new geographies, there are a lot untapped geography. Not all patients have to come from the U.S., right? Not all patients have to come from the U.K. and Germany. So we're seeing a lot more aggressive expansions in these geographies like Australia, for example, or China or other places. And so we're well positioned from the geographic perspective. And I think pharmas are finally beginning to understand that they can use the global infrastructure to meet out of this typical San Francisco, Boston, New York, Dallas, the place that you see today. So we're seeing a change, but it definitely continues to be, I think, a little bit of a bottleneck in finding patients fast enough. Thank you. Next question?
Operator: And that will conclude our question-and-answer session today. I'd like to turn the call back over to Mr. Sharma for any additional or closing remarks.
Operator:
Panna Sharma: Thank you, everyone. We'd like to really thank everyone for their thoughtfulness on the questions. We think CGI really has a tremendous set of capabilities to be a leader in precision oncology and help shape and drive this industry. We're used to this model, and we look forward to meeting many of you on the road in the coming weeks to talk more detail about our company and our strategy. Thank you.
Operator: And that will conclude today's call. We thank you for your participation.